Operator: Hello, ladies and gentlemen, and welcome to participate in IT Tech Packaging's First Quarter 2019 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. Joining us today are Mr. Zhenyong Liu, IT Tech Packaging's Chairman and Chief Executive Officer; and Ms. Jing Hao, the Company's Chief Financial Officer. Remarks from both Mr. Liu and Ms. Hao will be delivered in English by interpreters. IT Tech Packaging announced its first quarter 2019 financial results via press release yesterday, which can be found on the Company's website at www.itpackaging.cn. First, Mr. Liu will brief you on the Company's key operational highlights over the first quarter 2019, and then Ms. Hao will review the Company's financial results. Before we start, I would like to draw your attention to our Safe Harbor statement. Management's prepared remarks contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements, other than statements of historical facts in its announcement, are forward-looking statements, including, but not limited to, anticipated revenues from the corrugating medium paper, tissue paper, offset printing paper and digital photo paper business segments; the actions and initiatives of current and potential competitors; the Company's ability to introduce new products; the Company's ability to implement capacity expansion; market acceptance of new products; general economic and business conditions; the ability to attract or retain qualified senior management personnel and research and development staff; and other risks detailed in the Company's filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates and projections about the Company and the industry. The Company undertakes no obligations to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectations except as may be required by law. Although the Company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that this expectations will turn out to be correct, and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management's prepared remarks and it is now available for download from the Company's website at www.itpackaging.cn. Please note that there will be discussions on non-GAAP financial measure or EBITDA, or earnings before interest, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in U.S. dollars, and all comparisons refer to year-over-year comparisons unless otherwise stated. I would now like to turn the call over to Mr. Liu. His comments will be delivered in English by Dan McCarron from Weitian Investor Relations. Mr. McCarron, please go ahead.
Dan McCarron: Thank you, operator, and good morning, everyone. Thank you for joining our first quarter 2019 earnings conference call. Our first quarter 2019 recorded revenue of $17.45 million showed significant year-over-year improvement mainly as government-mandated restrictions in 2019 on natural gas supply caused production suspension from late January to mid-March. Although, the continued challenges facing our CMP business, sales of tissue paper products were the bright spot in the first quarter, contributing $1.86 million in revenue, or 10.7% of total revenue. Thanks to the newly launched tissue paper production line at PM8. As production in this line increases, production of offset printing paper resumes over the coming months and with our existing packaging service product lines, we expect to see a continuous revenue stream and improved financial conditions for the rest of 2019. Looking ahead, as Chinese paper market continues to grow, government environmental protection heightens and market competition escalates and we will be focusing on actively diversifying our product portfolio, opportunities for equipment upgrades, reducing raw material costs and leveraging technologies. Now, I will turn the call over to our CFO, Ms. Jing Hao, who will review and comment on the first quarter financial results. Her comments will be delivered in English by my colleague, Janice Wang. Janice, please go ahead.
Jing Hao: Thanks, Dan, and thanks, everyone, for being on the call. Next, on behalf of the management team, I will summarize some key financial results for the first quarter of 2018. Also I will occasionally refer to specific production lines associated with various products. I will make clear which products I am referring to reference, the numbering system for our production lines is provided on Slide number 17. Now let's look at our financial performance for the first quarter of 2018. Please turn to Slide number 7. For the first quarter of 2019, total revenue increased 824.2% to $17.5 million due to the increase in both sales revenue of CMP and tissue paper products, partially offset by the decrease in ASP of CMP. Turning to Slide 8. For the first quarter of 2019, the CMP segment, including both regular CMP and Light-Weight CMP, generated revenue of $15.6 million, which is representing 89.3% of total revenue. $12.2 million of revenue was from our regular CMP products and $3.1 million was from Light-Weight CMP. CMP segment volume significantly increased by 1053.5% to 33,718 tonnes, of which 26,293 tonnes was regular CMP and 7,425 tonnes were Light-Weight CMP. Average selling price or ASP for regular CMP decreased by 14.4% to $465 per tonne, and ASP for Light-Weight CMP decreased 13% to $453 per tonne. Turning to Slide 9. For the first quarter of 2019, our Offset Printing Paper segment did not generate any revenues, compared to 379 tonnes at an ASP of 957 per tonne in the same period last year. We resumed production of offset printing paper in April and expect revenue from this segment in the second quarter of 2019. Turning to Slide 10. We recognized the revenue of $1.86 million from tissue paper products for the first quarter of 2019 compared to zero for the first quarter 2018. Production of the tissue paper was suspended in September and October 2017 due to the replacement of coal boilers. In December 2018, we completed the construction, installation and testing of PM8 operations and announced the commercial launch of tissue paper production. We're expecting to commence the full production and sales of tissue paper products this year. Slide number 11, summarizes the changes in our revenue mix. For the first quarter of 2019, total cost of sales increased by $15.1 million to $17.6 million leading to total gross loss of $0.2 million, down from gross loss of $0.7 million for the same period last year, and overall gross loss margin of 1.1%. For the first quarter of 2019, SG&A expenses decreased by 21.8% to $3 million and losses from operations were $3.2 million compared to loss from operations of $4.1 million for the same period last year. Operating loss margin was 18.2% compared to operating loss margin of 239.4% for the same period last year. For the first quarter of 2019, net loss was $2.7 million, resulting in net loss of $0.12 per basic and diluted share. This compared to net loss of $4.1 million or net loss of $0.19 per basic and diluted share for the same period last year. For the first quarter of 2019, earnings before interest, taxes, depreciation and amortization increased by $1.3 million to $0.8 million from negative $0.5 million for the same period last year. Moving to Slides 12, 19 and 20. Let’s look at the balance sheet and liquidity. As of March 31, 2019, Company had cash and bank balances, short-term debt, including bank loans, current portion of long-term loans from credit union and related party loans, notes payable and long-term debt, including related party loans of $2.6 million, $9.2 million, $0 million and $7 million, respectively, compared to $8.5 million, $14.3 million, $3.6 million and $6.9 million, respectively at the end of 2018. Net accounts receivable was $2.4 million as of March 31, 2019, compared to $2.9 million as of December 31, 2018. Net inventory was $4.2 million as of March 31, 2019, compared to $2.9 million at the end of 2018. As of March 31, 2019, the Company had current assets of $15.4 million and the current liabilities of $20.4 million, resulting in a working capital deficit of $5 million. This compared to current assets of $24.2 million, current liabilities of $29.6 million and the working capital deficit of $5.5 million at the end of 2018. Net cash used in operating activities was $3.1 million for the first quarter of 2019, compared to $4.9 million for the same period last year. Net cash used in investing activities was $1.4 million for the first quarter of 2019, compared to $0.7 million for the same period last year. Net cash used by net activities was $5.4 million for the first quarter 2019 compared to net cash provided by financing activities of $0.8 million for the same period last year. If you have any questions, please contact us through e-mail at ir@itpackaging.cn. Management will respond to your questions through e-mails as soon as possible. Operator, please go ahead.
Operator:
Q - :
 :
Operator: Thank you for attending IT Tech Packaging's first quarter 2019 earnings conference call. This concludes our call today, and we thank you all for listening and goodbye.